Operator: Good day, ladies and gentlemen, and welcome to the CF Industries Holdings Fourth Quarter and Full Year 2019 Results and Conference Call. My name is Michelle. I'll be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to your host for today, Mr. Martin Jarosick, CF Investor Relations. Sir, please go ahead.
Martin Jarosick: Good morning and. And thanks for joining the CF Industries full year and fourth quarter earnings conference call. I'm Martin Jarosick, Vice President Investor Relations for CF. With me today are Tony Will, CEO; Chris Bohn, CFO; and Bert Frost, Senior Vice President of Sales, Market Development and Supply Chain. CF Industries reported its full year and fourth quarter 2019 results yesterday afternoon. On this call, we'll review the CF Industries results in detail, discuss our outlook and then host a question-and-answer session. Statements made on this call and in the presentation on our website that are not historical facts are forward-looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in any statements. More detailed information about factors that may affect our performance may be found in our filings with the SEC, which are available on our website. Also, you will find reconciliations between GAAP and non-GAAP measures in the press release and presentation posted on our website. Now let me introduce Tony Will, our President and CEO.
Tony Will: Thanks Martin and good morning, everyone. Last night, we posted our financial results for the full year 2019, in which we generated adjusted EBITDA of $1.6 billion a nearly 15% increase over 2018. We efficiently converted our EBITDA into cash, generating over 900 million in free cash for the year. As shown on Slides 6 and 7of our materials we're the most efficient converter of EBITDA into cash in the industry. Additionally, we have the best free cash flow yield. These results reflect the impact of lower year-over-year natural gas costs for the company, higher product price, realizations and outstanding execution by the CF team. We operated our plant extremely well all year and set a new quarterly ammonia production record in the fourth quarter. For the full year, we produce more than 10.2 million tons of ammonia and delivered sales volumes of 19.5 million product tons. Most impressively, we did all this safely. Our 12 month rolling recordable incident rate at the end of 2019 was 0.48 incidents per 200,000 work hours. This is the lowest year end rate ever at CF. We are tremendously proud of this achievement. And I want to thank everyone at CF who makes safety their top priority every day. In 2019, we delivered a one year total shareholder return of 13%, which was well above each member of our fertilizer peer group for the year, as you can see on Slides 9 and 10. We have outperformed our peer group index over one, three, five, seven and 10 years for total shareholder returns. And we were the single best performing company overall with one of these time periods. We believe this consistent long-term out performance relative to our peers reflects the enduring structural and operational strengths of our company. Our structural advantages are clear, we provide a nutrient that is non-discretionary and for which demand continues to grow. We are among the lowest cost producers of nitrogen in the world due to our access to low cost and plentiful North American natural gas and we operate in import dependent regions. We also have created operational advantages for our company by investing in our assets and our people. We have the highest ammonia utilization rate in North America and our production sites have the flexibility to switch quickly between products to meet demand and maximize profits. We also have outstanding logistics capabilities in North America's most extensive distribution network. These advantages have enabled us to efficiently generate significant cash flow. Since the beginning of 2017, we have deployed nearly $4 billion in cash to strengthen our balance sheet, increase shareholder participation in our nitrogen business and return cash to shareholders. We believe we are the best position company in the industry to continue to build on this track record of creating long-term shareholder value in the years ahead. Looking forward to 2020 we remain focused on safe and reliable operations and disciplined management of the company. As we've said before, we believe our operational performance will consistently deliver sales volumes between 19 and 20 million product tons each year and we expect to do this with one of the lowest controllable cross structures per product ton in our industry. With that let me turn it over to Bert who'll talk more about current market conditions and our outlook. Then Chris will cover our financial position before I offer some closing remarks. Bert?
Bert Frost: Thanks Tony. Since the start of the second half of 2019 low global energy prices have supported higher industry operating rates and increased nitrogen supply availability. This pressure global nitrogen prices in the latter part of 2019 and into 2020. Global demand in the second half of 2019 was a bright spot highlighted by strong urea imports into India and Brazil. India tendered for a record volume of urea during the year due to favorable growing conditions and flat domestic production despite the startup of new capacity. This demand along with the effect of lower energy prices and favorable exchange rates brought additional Chinese urea exports to the market, exceeding our expectations entering the year. Demand from India should remain strong in 2020, with the next India urea tender expected in March or early April. We also expect urea imports and demand in Brazil to increase over 2019 supported by the recent idling of a Petrobras ammonia urea complex and additional planted corn acres in that country. Just like the rest of the world, North America saw lower year-over-year nitrogen prices throughout the fourth quarter. This has been reflected in North American nitrogen prices as we begin the year. Urea barge values in New Orleans at the start of 2020 were $220 per ton, compared to $275 per ton at the start of 2019. Barge prices have appreciated recently as the industry has begun to take stock of potential spring demand. However, even with the increase prices today are still lower year-over-year. Additionally, UAN prices in North America are lower than at this point last year and priced at a discount to urea due to an influx of imports as trade flows adjust to the impact of European Union tariffs. We expect strong nitrogen demand in North America during the upcoming spring application season, which we believe will support prices. Last year we saw record prevent plant acres in the US and a weak fall ammonia season due to poor weather. Despite a challenging year, however, farm income is improved for most farmers and input costs are at decade lows. This should result in an increase in planting corn acres as a whole over 2019 if farmers see typical planting conditions. We believe this should favor demand for nitrogen. Crop features continue to support an increase in the planting of nitrogen consuming crops. We estimate planted corn acres in the United States will be in the range of 92 million to 94 million acres. We also expect positive demand for spring ammonia, as well as upgraded products, which typically see greater demand following poor fall ammonia seasons. We're well prepared for the active spring application season we see ahead. While our expectations are for normal planting conditions, each spring brings new opportunities for CF to leverage our extensive logistics and distribution capabilities. We are ready for whatever arises and look forward to working with our customers for a successful spring application season. With that let me turn the call over to Chris.
Chris Bohn: Thanks Bert. For the full year of 2019, the company reported net earnings attributable to common stockholders of $493 million or $2.23 per diluted share. Our EBITDA and adjusted EBITDA were both approximately $1.6 billion. Lower natural gas costs year-over-year were a substantial factor in our financial performance in 2019. This was especially true in the second half when significantly lower natural gas prices compared to 2018 supported our results despite lower product prices. Looking ahead to 2020 we expect natural gas costs to continue to provide a tailwind, particularly in the first half of the year. This should partially offset the impact of lower year-over-year product prices. Our full year net cash provided by operating activities was approximately $1.5 billion and free cash flow was $915 million. In 2019, we continue to deploy capital in line with our long standing priorities. We redeemed 750 million in debt, lowering our gross debt to $4 billion. We returned $265 million to shareholders through dividends and we repurchased 7.6 million shares for $337 million. As a result, cash and cash equivalents on the balance sheet at the end of the year were $287 million. This is in line with our stated target of $300 million to $500 million of cash on the balance sheet. Given our significantly reduced fixed charges, and our undrawn $750 million revolver, we believe this provides the liquidity we need to run the business through the cycle. Looking ahead to 2020, we will continue to pursue the balanced approach we have taken to manage the company, prudently allocate capital and return to investment grade. This includes increasing shareholder participation in our underlying business. Since the end of 2017, we have increased shareholder participation by nearly 10% through growth initiatives, and repurchasing nearly 8% of our outstanding shares as you can see on Slide 12. Given the current share price and our strong free cash flow generation, we believe our shares are the most attractive investment in our industry. Returning to investment grade also remains a priority. We entered the year with greatly improved credit metrics and financial flexibility, compared to just a couple of years ago. Since the beginning of 2017, we have lowered our debt by $1.85 billion and have reduced their fixed charges by approximately $190 million on an annual basis. We are committed to redeeming the remaining $250 million of our 2021 senior secured note on or before the maturity date. We believe this will further strengthen our case for investment grade and will also achieve our goal of a strong and flexible balance sheet that is well positioned for the future. With that, Tony will provide some closing remarks before we open up the call to Q&A.
Tony Will: Thanks, Chris. Before we move on to your questions, I want to thank everyone at CF for their great work throughout 2019. Their focus on safety, operating reliability and delivering for our customers continues to drive our success as a company As you've heard from Bert and Chris, lower global energy costs have pressured product prices in both Q4 of 2019 and Q1 of 2020 compared to the prior year periods and we expect this trend to continue to the first half of the year despite the expected increase in corn acres. The impact of lower year-over-year product prices should be partially offset by lower gas costs. But our results are much more sensitive to movements in product prices than they are to movements in gas costs as you can see on Slide 13. So as we sit here today, in the early part of 2020, with most of the year still to play for and understanding the highly volatile and sometimes unpredictable nature of global commodity prices, we would expect that full year 2020 EBITDA would fall somewhere within the range of our 2018 and 2019 results. But our focus is on free cash flow rather than EBITDA and as a reminder in both 2018 and in 2019, we generated over $900 million in free cash flow. So given that we would expect to continue executing on our capital deployment priorities of regaining investment grade, while continuing our share buyback program, investing in the most attractive shares in the industry. Longer term, our company remains among the best position in the world. Our structural advantages are clear. We produce the only non-discretionary nutrient nitrogen. We have access to low cost North American natural gas and we operate in the important dependent regions. We believe these advantages will continue to drive strong free cash flow generation through the cycle and enable us to build on our track record of creating superior long-term shareholder value compared to our competitors. With that operator we will now open the call to your questions.
Operator: As a courtesy to others on the call, we ask that you limit yourself to one question should you have additional questions, we ask that you ranch the queue. And we will answer additional questions as time allows. [Operator Instructions] Our first question comes from Christopher Parkinson of Credit Suisse. Your line is open.
Christopher Parkinson: Great, thank you very much. Regarding the UAN market, can you just talk about the evolution of global trade flows and how you see them kind of moving in 2020, including out of the US? And then also the progress you've made in Latin America, regarding your market development efforts. And if you could hit on that, as well as just the USs net position, from your perspective, it would be greatly appreciated. Thank you.
Tony Will: Good morning, the UAN market has been growing. We believe that it is a very good product, due to its flexibility and adaptability and blend ability. And we're seeing that growth taking place in South America as you mentioned. So the changes that have taken place to the global market or the recent UAN European Union sanctions that came in place at the tail end of 2019 last year, we exported – we continue to export into Europe and this year, I don't think we will. And that has really blocked a lot of the Russian or most of the Russian product, as well as Trinidadian. We don't believe that this is a fair nor just nor correct result. And we think that there will be some issues and contentions and disputes regarding what the decision was. But what that has caused a disruption in the flows. And so our position is that it takes a while for those flows to rebalance for different companies to make different products and to develop different markets. We've been focused on that end of the situation developing different markets. Since we brought up the production in 2000 or before we brought up the production 2017. So we've been working in South America as well as what we were shipping in Europe. And our growth markets have been Argentina, Brazil, Colombia, Mexico, Chile, shipping to all those and not much of that existed outside of Argentina five years ago. And we projected that will be a million ton market in 2020 and growing every year from there on out. When you look at UAN as the balanced product to CFs portfolio, well we start with ammonia, then we make different sub products and so what we've been able to do because of the decisions we made in construction – constructing the new facilities, was we had tremendous flexibility of maximizing urea or UAN or sub products like DEF and nitric acid and we are utilizing those capabilities today and producing less UAN. So you've seen a reflection of CF bringing less UAN into the market, rebalancing our customer portfolio, pursuing more business on the east and west coasts, developing some new terminals in the interior as well as what I just explained in South America. So we're – we feel like we're well prepared, you're going to see us continue to execute and focus on growth and opportunities. And we believe that UAN is a very good product and on a price differential where it's under urea today, we believe that over time rebalance would be equal to or greater than urea.
Operator: Our next question comes from Stephen Byrne of Bank of America. Your line is open.
Stephen Byrne: Yes, just may be continuing on this topic, Bert. When you look out at the spring demand in the US, you look at, say channel inventories. You look at the lineup of imports coming into the US. Do you see the potential that urea in the spring could get short? And conversely do you expect UAN to remain long and how have your outlook for these products affected your forward sales book for these products?
Bert Frost: Good morning, Steve and so I'm always optimistic, but I always played defensive game and that's preparing for eventualities and not to put the company in a negative position. So it's a combination of what you just explained. Channel inventories we think are adequate especially for the first round as product starts moving to the ground, but when you look at what we've – what has happened with ammonia, ammonia being the building block not only of producing the upgraded products, but to the farm community ammonia has always been a base load for the ice states as well as Nebraska and some of the outlying states. And that has generally been about 4 million ton product per year moved through our terminals and the other providers terminals. We had a poor fall ammonia season, so that end needs to transition to spring. And so we're projecting to have a healthy demand for ammonia around that 4 million ton range urea, around 11 million to 12 million in UAN, exceeding 15 million tons. And so for a global market, North America is three quarters of UAN demand today, around that number. And so looking at what has come in, we have received too much up and into the market. And that's reflected in pricing, especially on some of the coastal markets. And so do we need to balance? Well, we've added capacity and others have added domestic capacity. And so there's probably about a 2 million ton requirement of UAN and imports and we're probably a little bit over that. And again, that's reflected in pricing urea. We're importing 4 million to 5 million tons and if you look what's been brought in to date and what's in the lineup, we still have substantial needs to meet. And we're preparing for that demand to materialize with our interior storage and production and positioning product. And so we have a good order book on and we're going to continue to build on that order book and have product in place for that second round and third round when people need just in time inventory. So our outlook is positive for the spring, especially for the interior.
Operator: Our next question comes from John Roberts of UBS. Your line is open.
John Roberts: Thank you. Could we gain your thoughts on the new Gulf Coast ammonia project and what that may mean for reinvestment economics? Do you consider that kind of a one off situation or the sign that where we might see some future expansion from the industry more broadly?
Tony Will: Yeah. Good morning, John. My perspective is that if your air products, this is a great project, because they get to – get better utilization of their existing hydrogen production along the pipeline, they get to expand their pipeline and build a new SCR and as long as you've got a credit worthy off taker, you can get very good returns on that kind of business. So I can absolutely understand why your product wants to do it. I think if you are the back end of the ammonia process it's less clear as to this project actually makes sense. And our understanding is the sponsors who are the off takers from their products suggests that they need a dramatic increase in ammonia pricing, kind of getting Tampa up north of $350 per ton in order to make a reasonable rate of return on that kind of project. And today Tampa isn't anywhere close to that number. So my hope is that they actually earn a great return on that project because that would suggest that the rest of our business is coming along really well. But it's a bet on the comp and based on where global energy prices are and the amount of ammonia production is in the world, it's hard to see that that's certainly not a bet that I would be making today. And it's hard for me to believe that there's a lot of other people stepping up in line to double down on that.
Operator: Our next question comes from Don Carson of Susquehanna Financial. Your line is open,
Donald Carson: Yes, Bert, just trying to get a sense of how much of the fall ammonia application season we missed and what the implications are for additional demand this spring. How much the growers have to make up? How much do you think they'll make up in ammonia versus urea or UAN?
Bert Frost: Yeah, looking at the fall of '19 compared to the fall of '18, in the fall of '18, we had a wonderful run in Canada, the northern tier weaker in the southern tier. In '19 it was kind of weak everywhere. The north never got started Canada, North Dakota and that area, Minnesota, just due to cold wet and then snow. And that was delayed in the south. But then we had a warming trend in December and got some loads out in the southern Illinois area. So really throughout most of the Midwest, Iowa was okay, what we expect is that for precise number, I would say several hundred thousand tons need to move into spring. And probably that will be made up with upgraded products we're expecting a normal spring for ammonia which we didn't have in '19. And where product is priced today, urea is a little bit higher and UAN is a bit of a value right now as well as ammonia. So it's going to be interesting to see what value plays, what tradition plays, what practices farmers will apply in 2019 and that's why our balanced approach seems to work pretty well.
Operator: Our next question comes from Joel Jackson of BMO Capital Markets. Your line is open.
Joel Jackson: Hi, good morning, everyone. I had a question about some of your price realizations for urea and UAN. In the last four or five quarters, you've achieved really good price premiums to somewhat arbitrary NOLA benchmarks. In '17 and '18 especially for UAN what you were realizing versus NOLA benchmark was kind of flipping up and down between a premium and a discount, this goes back maybe some of the numbers you would have seen a few years ago. So I guess I want to ask, is there something going on that in terms of your book in the market that import and export dynamic that lets you now achieve sort of a better premium than sort of good consistent premiums to these benchmarks or maybe help me understand the dynamic Thanks.
Tony Will: Yeah, Joel, I mean, my flipping respond was – response would be the team and – but I actually want to give credit to the team we've over the years have built an internal team of talent and diverse talent and with an effort towards utilizing different skills and languages and experiences and that takes time and we've put some people in some positions that have really done a great job and I like the way our incentive program works where we as a team, everybody works towards the same goal which is the betterment of CF Industries. So we're all rowing in the same direction that really helps with focus on – if urea or UAN and those product leaders are more focused on what's better for CF, we have that conversation every day. The other issue is the river and there have been logistical issues which we identified early or have been able to capitalize on later because of our distribution system and unique logistical assets. And so it helps to put the company in that position as we prepared in the past. And then so what we're seeing is we have differentiated production in Canada and Northern Iowa, as well as the Donaldsonville. So we have arbitrage exports against imports and when that is advantages to the company we've chosen to export, so a combination of all those factors that put us in a good spot.
Operator: Our next question comes from Vincent Andrews and Morgan Stanley. Your line is open.
Jeremy Rosenberg: Hey guys, this is Jeremy Rosenberg on Vincent. Thanks for taking my question. Just want to ask one on n China. Thinking about the headlines we've been seeing on the coronavirus. I want to get your thoughts on if that could potentially weaken domestic urea demand in China and free up even more tons for export and I saw your export expectations were brought up from 1 million to 3 million to 2 million to 3 million, but just not fun and coronavirus there. Thanks.
Tony Will: So the impact as we see it is unfolding. What was announced yesterday with the additional deaths and disclosures is scary because it's probably spread farther, further and deeper than we're understanding. So what is the impact of that? It's the ability to operate. The demands today that are being made to please show up to work from the Chinese government for your national duty is troubling when you're risking potential injury to you or your family members. So our take on the virus today, its impact is on logistics and production. Will the mines be opened their short call today and inventory levels from our reports are at low levels? And so the ability to move and to keep that moving and then that extends into feed and just in time deliveries of feed for protein growth. And so the potential is you unravel this thing where does urea shipments to exports rank in the pantheon of needs is probably not very high. And so I think it's going to be not much urea comes out of the Hubei province, its more phosphate. So I think the first price differential will be on phosphates because of limited exports when China has been the marginal producer in that area. But overall, we're predicting fewer exports out of China anyway. And this will just further exacerbate that situation. And that's why we're more comfortable and confident with a tightening of the market. China was the marginal producer and more tons did come out than we had expected in 2019. We don't see that repeating in 2020.
Bert Frost: Yeah, I completely agree. I think if anything, this is going to be a negative impact on supply from coming out of China as opposed to negatively impacting demand because on the demand side, people are still got to eat, so – and this bird says that whether it's coal mines or urea plants, those are the places where I think you're going to see a reduction in labor hours. So we would expect it to be kind of nothing like this has ever a net positive, but from a humanity perspective, but relative to urea supply, it probably will tighten it up.
Tony Will: And I'd say we're positive then protein exports to China, and then positive the feed grains and oil seeds from the United States and Brazil. So that's going to be – again, the thing has to unfold, but those are the areas that I would see needs materializing from China.
Operator: Our next question comes from Mark Connelly of Stephens. Your line is open.
Mark Connelly: Thank you. We've seen some increases in freight rates in a number of markets. I'm curious if that's having any impact or if you expect it to have impacts just on where urea products going whether it's yours or somebody else's?
Bert Frost: Yes, the IMO impact is being felt. And you're right, there were some increases – we saw more substantial increases in the liquid rates coming out of NOLA, as we looked at some exports to South America at the turn of the year. And then we believe we'll have further costs – we think the net benefit because we're such a domestic producer is increased costs for those coming to the United States. And so is that a $10, $20 we've seen substantial bids in the short-term, does that balance out longer term, but I think it will add structural costs and that would add to our cost curve for those bringing tons into NOLA or the – either west or east coast, so for us, it's a net positive.
Operator: Our next question comes from Jonas Oxgaard of Bernstein. Your line is open.
Jonas Oxgaard: Hi, good morning. Looks like national gas price in North America are now at borderline absurdly low levels; is there any thoughts about trying to lock in these kind of low rates long-term? Are you continuing to do spot is the strategy?
Bert Frost: Yeah. No, good question. Where gas is trading today is about $1.85. It's been as low as $1.76 at Henry Hub, the basis weighed to CF it's even lower. So it's a very nice place to be and we're very thankful for being a North American producer locking in North American gas. But you're right. The question is do you lock in or do you play the daily or a combination thereof and that's what we have chosen to do is to play a combination. There's time period during the year, where risk mitigation is the responsibility of the natural gas procurement team and that's winter, November, December, January, February, and sometimes into March we have cold weather and high demand and you're pulling gas from the storage cavities that are placed throughout the United States. Then sometimes basis blows out like we've seen in these polar vortex years where they can be $50 or $100 over the spot price. And so a combination of protecting the company is prudent, but a combination of realizing that there are excess gas availability and limited places for it to go until pipelines get built out or increased demand and power generation or LNG exports materialize. Net-net worth positive end of that curve and so you've seen us achieve better realized values than the market is predicted and that's because we've played a balanced game of how we acquire that gas for the company. I can't –
Tony Will: But I think as we sit here today, Jonas we're getting close to the end of winter, although it's snowing in Chicago, but as you look at the number of cold days last week, it's been a mild winter, storage levels have increased, gas production continues to be very high. In our view there's probably price pressure coming instead of this is the low point. And so we're very positive in terms of buying daily or month ahead as opposed to taking long-term lock positions. The other issue though, is in terms of the forward curve, you can't lock two years out or three years out at today's values because the curve starts increasing. And so that's why as Bert said, there's a little bit of a mixed bag in terms of how we approach it. But structurally we're very optimistic about low gas costs through the balance of the year.
Bert Frost: What I do like is the forward spread to Europe and to Asia and the NBP and JKM. If you look at that, we expand out to a $2 to $3 spread, just based on forwards for each of the markets. That's again and when you throw in the previous question on freight rates puts us at a very good cost position for the Western markets being North America and South America and positions as well for the future.
Operator: Our next question comes from P.J. Juvekar of Citi. Your line is open.
P.J. Juvekar: Yes. Hi. Good morning.
Tony Will: Good morning.
P.J. Juvekar: So you mentioned lower energy prices incented nitrogen production last year. As we start 2020 it seems like energy prices are even lower. What does that mean for global production this year? And then I just want to make sure that I heard you right. I think Bert you said that you expect more imports of grains and pork into China, as a result of this virus outbreak. I just want to make sure I heard that right. Thank you.
Bert Frost: So the question was speculation. And so the answer was in line of potential outcomes and a potential outcome clearly would be increased because the question was, if urea production is unable to produce at the rate that they need, and then move that into the market, as they're entering their spring peak demand, which is about now that would be a yield impact of corn, wheat and vegetables and fruits. Therefore, the need would be to augment or replace that value – carbohydrate value and protein value with imports. That's where I was going with the thinking. Regarding your question on – yes, increased end production happened as well as increased output in exports in that export curve, but as a combination or flexion of higher prices. As we entered 2019 the NOLA price was $275. As we entered 2020 it was s $220 for urea. The Chinese tons that came out and went to India at one tender averaged $280 a ton metric FOB, the next tender was $260 a metric ton FOB. So energy prices were lower and product prices were higher. And guess what happened over time product prices fell to a level that doesn't make it attractive enough. We believe for some of those extraneous or excess tons to make it in the market. Therefore a correction takes place and a slowdown which we're seeing in production. China has run based on let's say 78 million tons of static capacity has run between 55% and 70% and that's how we get to our numbers of what was produced, exported and consumed internally. And that and some other questions I think with like Brazil, the Petrobras plant shutting down and some others that are experiencing higher gas values and an inability to bring in the low value LNG will correct the market then so – and I just think that's where we're going to be and while our expectations of trade at higher values as we progress year-on-year.
Operator: Our next question comes from Michael Piken of Cleveland Research. Your line is open.
Michael Piken: Hi, I just wanted to talk a little bit about your strategy on UAN here in the US and I know you had the initial summer fill program and you had a recent fill program. Maybe you could talk to us about kind of how that program sort of reached your expectations and how you sort of balance the needs of some of your customers and making sure they're not underwater versus the need to keep imports out. Now, it's always a tricky balance. Thanks.
Bert Frost: Yeah, we are a North American participant, a large 90 plus percent of our volume is directed, focused and attended to this market. And we do participate in the export market and we built some great relationships, but we utilize that as an arbitrage when the value is attractive or timing is attractive, for example, when we're in a low demand period and some of those places are in higher demand periods. So our UAN strategy is and has been focused on the United States. However, in previous years before our capacity expansion, there were areas due to logistical difficulties we had – we weren't able to reach and so we added capacity. We have rebalanced our system and then have worked with some of our logistics providers to access some of those markets and then started targeting places where we should participate and we're adding some tanks in California converting some tanks in other areas that are already owned, leasing some tanks in other areas where we think we should be participating. And Cincinnati is a good example. We were not active in Cincinnati, today its several hundred thousand tons for CF, a very good market. We will continue to grow in areas like that utilizing our domestically produced tons where we're logistically favored and then the remainder is what we'll export, so we feel pretty good about that. We work with our customers. We have an extensive customer list from a few hundred tons per year to a million tons per year. And you're right that conversations, we want our customers to make money. They need to make money and that's the business that they're in is serving the farmer. We serve the wholesaler, the retailer, the coops that serve those farmers and so that's a combination of conversation and understanding where they are and what farmer economics are to make sure our products are appropriately priced and generally against imports. That is our competitor and to position – and then out marginal ton in some of the coastal markets we're competing directly with Russian and Trinidadian production, we'll continue to do that.
Operator: Our next question comes from Adam Samuelson of Goldman Sachs. Your line is open.
Adam Samuelson: Yes, thanks. Good morning, everyone. Maybe continuing in UAN and say different light and Bert, Tony I was hoping to get your thoughts on the UAN cost curve. I mean, it's obviously different focus, Trinidad, US, Russia are the principal producers with NOLA prices kind of where they are in the in the 110 to 120 range. Are some of those producers now underwater? I mean, how do we think about capacity rationalization there that might be getting forced at these price levels and/or just on the other side, the demand response domestically of UAN trading at such a big discount to urea. I'm just trying to think about how this price disparity kind of closes over time.
Tony Will: Yeah, I mean, I think, I don't know, I'll give you sort of my quick take and then I'll throw it over to Bert for the real answer. But my view on this one is the companies that are – or the region that is probably the most at risk from an economic standpoint, I think is going to be Trinidad because most of the favorable Caribbean gas indexed contracts are kind of rolling off or have rolled off and the renegotiation with NGC has happened that higher price levels. You've seen a couple of plants on the island actually close as a result of not being competitive any More. And given that Europe is no longer really a destination option for that production, I think that puts a pretty big challenge on those plants. Relative to Russian production and in the US, we're still fine. If you look at UAN, the margin structure is still well superior to that of ammonia and on a $1 per nutrient ton it's still a very attractive product for us to make relative to having excess ammonia. I think anyone know that has an ability and flexibility in their system to upgrade into different product types like we do into producing more urea, urea liquor, DEF and nitric acid and not making UAN that turns out to be a great margin opportunity for us. And I think some of the Russian producers are making more AN and doing some other things with upgraded products as well. So our view is the – over the longer term, I think you're right, given where values are today to a farmer you might see incremental growth in terms of switching toward UAN in the near term over the longer term because it is a more capital intensive process to make UAN that it is urea, you've got to earn a fair rate of return on that incremental capital otherwise people stop investing in it. And so we would expect margins to kind of – once you get through the trade flow rebalance to get back to as Bert said earlier, kind of net neutral between UAN and urea or even positive UAN. So I think this is kind of like what we saw in '16 and '17 where the new capacity came on and it took a year or two to – for trade flows to rebalance. And for us to really kind of get our sea legs under us and the same things going on right now globally with UAN and the European anti-dumping situation. Bert?
Bert Frost: No, I think it's good.
Operator: Our next question comes from Benjamin Isaacson of Scotiabank. Your line is open.
Unidentified Analyst: Hi, this is Ziad on for Ben. Thanks for taking my question. Just maybe dragging back to the inventories you were talking about earlier. I believe you were describing them as like adequate inventory levels now and how the system kind of demands about 4 million tons of ammonia. Could you talk maybe a little bit about what those inventory levels are specific to that in light of the week application season specific to ammonia where people – where farmers have been consuming other end products to kind of make up for that. Thank you.
Tony Will: The ammonia system from an inventory standpoint is that there's a cap on it because it's really sitting for the most part with three major producers Coke, Nutrien and CF are the ones that have the y cryogenic storage tanks or terminals in market. And while there's some storage at plant locations generally speaking, it's not more than 50 or 100,000 tons. And so the vast majority of the inventory sits with the three producers and there's a limit in terms of what that looks like. So in order to get the 4 million tons out, you actually need relatively – given a week fall, you need to be able to resupply some of those tanks. So if you end up in a situation where weather is not cooperating in terms of being able to dump the tank and then resupply it and get more than one ton in the spring, it's going to push farmers toward upgraded products simply because you can't get the amount of nutrients that you need to from the ammonia system. That said given the weak, fall we think the tank situation is relatively full and ready to go. So I think in terms of whether you get to the 4 million tons is really dependent upon kind of how early the fields open up to begin ammonia application and how long that lasts for and if you have a situation like we had last spring, you're not going to see anywhere close to 4 million tons get out.
Bert Frost: When you look at how that system is balanced, it's in a combination with your – or our and others logistics – or industrial customers and those that have a ratable 360 day demand and we supply that as well as exports. So we've been exporting and then rebalancing the system through shipments to our terminals or our plants and that gives benefit or we have the benefit of our logistical options. We have the ammonia barges, we have the ammonia pipeline, we have our own rail cars and we lease or work with our truck providers to move that products. We feel very good about whatever will take place in the spring that will be ready.
Operator: Our next question comes from Andrew Wong of RBC Capital Markets. Your line is open. If your telephones muted, please unmute.
Andrew Wong: Hey, good morning, sorry about that. So with investor interest in ESG picking up a lot over the last couple of years, can you just maybe highlight what CF can do or maybe has already done to raise its profile in that area? Thanks.
Tony Will: Yeah, I mean, I think from an ESG perspective, there's four or five planks here that we're focused on. The first is that nitrogen is actually a product that is very beneficial to, from a global perspective, carbon emissions. And the reason for that is, even though agriculture certainly depends upon which agency look at is estimated somewhere between 25% and 30% of – responsible for 25% to 30% of aggregate greenhouse gas emissions. The vast majority of that comes from land use. And so as you are cutting down carbon sequestering for us in order to cultivate those acres, you're releasing a lot of carbon and you furthermore don't have the mechanism to further sequester carbon going forward. And so the use of nitrogen allows you to increase crop density and increase yield per acre, which means that in order to feed the world's population, you need less acres in use, and net-net the world is a much lower carbon footprint by producing and using nitrogen than you are not producing nitrogen and cutting down trees in order to feed the growing population. So that's number one, which is actually our product on a net basis is beneficial instead of that negative. The second issue is, particularly with our new plants, we're among the lowest carbon intensity producer globally. And with our plants turning on you've got Chinese coal based plants that shut down. And that, again, is sort of good from a global perspective. So I think this is one of those questions you have to ask, writ large instead of very locally. Now in addition to that, we're very focused on responsible use of the product and have invested heavily in kind of the four R plus program, which is teaching farmers best management practices to both reduce nitrogen loss to the environment, but also reduce volatilization in a way that creates nitric oxide or other emissions that are high from a carbon intensity perspective. And then finally we are investing in our asset base in order to further reduce of what our footprint looks like on a sort of act locally kind of basis. And so, I think if you look across all of those things that we're doing, we have an exemplary yes ESG standpoint and we're reporting on a comprehensive GRI basis from a transparency and disclosure perspective. We're one of the very few number of companies that actually reports on the GRI index on a comprehensive basis instead of just on a spot or line item basis. So we feel very good about our ESG profile.
Operator: Our next question comes from Jeff Zekauskas of JP Morgan. Your line is open.
Jeff Zekauskas: Thanks very much. Since the beginning of the year, the price of Brent has gone from I don't know $68 a barrel to $54. How much of a difference do you think that makes to the global nitrogen fertilizer costs curve? And secondly, in fourth quarter of 2019, there were very large imports of urea into India. And how do you see India urea imports in the first half of 2020 and for the year versus the year ago period?
Tony Will: Jeff, let me handle the first part of the question and I'll throw it over to Bert to deal with India, which is – as you think about Brent coming down, there's no doubt that anyone that's receiving oil index based LNG or import gas is in a more favorable position today than they were a year ago. That said the real marginal production costs globally is still Chinese, anthracite coal. And Brent price does not really affect Chinese anthracite coal price directly. And in fact as Bert indicated, whether it's coronavirus or other things going on, you've seen actual coal price strength and a little bit. So the high end of the cross curve has gone up or stayed flat relative to what looks like a bit of a windfall for some other people in more third or early fourth quartile. So it's not really affecting global pricing today, the fact that Brent has come down. Bert you want to deal with the Indian situation.
Bert Frost: Sure. So India, surprise to the upside, importing close to 10 million tons when you include the tons, so almost a 30% increase over the previous year, production stayed relatively flat, about a 25 to 3% increase and stocks are a little bit higher. So a healthy consumption base, good monsoon seasons and then good demand, big country and they've got to feed themselves and some exciting things are taking place in India with the Modi government regarding investments, infrastructure and in terms of an educated population growing population. So when I look at – we look at the going forward, we expect another tender probably late March, early April and kind of running on the same pattern, whether being equal of continued import and being the largest importing country in the world. There are two plants that are said to come on stream at the end, kind of this year, early next year. And generally those plants have been late. And then there have been issues with feedstock supplies, and so not sure when that overall production will come on. But there are some old especially in the naphtha base plants are suspect. And so even with the increased production in 2019, or run rates they have been fairly stable in their production really, over the last five to eight years and so we see good things and we've mentioned both India and Brazil in our prepared remarks in terms of growth – growth of demand and not necessarily too much of an increase in supply.
Tony Will: Yeah, the one thing with respect to that is despite new production coming on in India that Bert mentioned this earlier you saw aggregate production within India remain relatively flat. And so that means whether it's because of production problems at the older plants or just the fact that they're not economic to run them relative to be importing, you haven't seen this negatively impact India's imports and so that I think is a very optimistic sign around global S&D balance going forward.
Operator: Our next question comes from Chris Willis of Exothermic Global. Your line is open.
Chris Willis: Good morning. Thank you for taking the question. I was just curious with the length in the market and I recognize there's a pretty big spring potentially in the offing. Why wouldn't you have to cut back some ammonia production, maybe idol, some production in the fall and idle – throttle back a little bit some of your derivative products just to tighten things up a bit as we move into the spring? And I'm just wondering about the – what was the rationale behind doing a tender in the UAN market?
Tony Will: Thank you, Chris. I'll handle the first one on the production side and then I'll let Bert talk about our UAN programs. We're among the lowest absolute cost producer globally and so our assets should be the last ones to turn off, not the first. And there is enough production out there on a global basis that if we were to curtail, I wouldn't expect that to move the market a bit because there's sufficient supply elsewhere in the world. And so our business model is all around asset utilization, our up time and production efficiency and on the stream factor is among the highest in the world and certainly the highest in the US. And because we're able to achieve those kind of levels, we basically get kind of the equivalent of an additional ammonia plant worth of production compared to the utilization rates that our North American competitors are able to achieve. So that's a huge competitive advantage when you think about the capital that goes into it. And even at the low prices that we're seeing out there for ammonia, it's still a very attractive product from a margin standpoint for us. And again, we would be kind of the last producer to shut down, not the first and on a full year basis last year we still just generated 21% gross margin in our ammonia segment, which is pretty remarkable that in a lot of businesses to talk about that being a depressing situation for an industrial business to achieve 21% gross margin for the full year is pretty outstanding result.
Bert Frost: Regarding the UN tender, we are always seeking ways to effectively communicate with our customers, different messages and treating our customers equally. And so there are times when some people are willing and ready to buy and want to and so announcing a tender where we have a specific period where we're receiving quotes or offers and we go through that and then select what's attractive with kind of a price point in mind allows us to have a conversation directly with customers as small as several hundred tons and up to several thousand or even larger than that. And so we've utilized that now for the second time at different points and it's I think a unique form to have that conversation that sparks further conversations. This isn't a static market because we're a commodity that is used to make a commodity, but we're buying a quality of all these interactions, as well as logistical interactions and time and values are different at different times. And that's why we want to interact as much as possible and have that dialogue to make sure we're positioning our company correctly.
Operator: Ladies and gentlemen, that is all the time we have for questions for today. I would like to turn the call back to Martin Jarosick for closing remarks.
Martin Jarosick: Thanks, everyone for joining us today. We look forward to your follow up calls and seeing you at the upcoming conferences.
Operator: This concludes today's presentation. You may now disconnect. Everyone have a great day.